Operator: Good afternoon. And welcome to Medifast First Quarter of 2022 Earnings Conference Call. On the call with me today are Dan Chard, Chairman and Chief Executive Officer; and Jim Maloney, Chief Financial Officer. By now, everyone should have access to the earnings release for the period ended March 31, 2022 that went out this afternoon at approximately 4:05 p.m. Eastern Time. If you have not received the release, it is available on the Investor Relations portion of Medifast’s website at www.medifastinc.com. This call is being webcast and a replay will be available on the company’s website. Before we begin, we would like to remind everyone that the prepared remarks contain forward-looking statements and management may make additional forward-looking statements in response to your questions. The words believe, expect, anticipate and other similar expressions generally identify forward-looking statements. These statements do not guarantee future performance, and therefore, undue reliance should not be placed upon them. Actual results could differ materially from those projected in any forward-looking statements. All of the forward-looking statements contained herein speak only as of the date of this call. Medifast assumes no obligation to update any forward-looking projections that may be made in today’s release or call. And with that, I would like to turn the call over to Medifast’s Chairman and Chief Executive Officer, Dan Chard.
Dan Chard: Thank you, Reed, and good afternoon, everyone. Thank you for taking time to be with us today. On the call with me today is Jim Maloney, our Chief Financial Officer. I will start with an overview of the first quarter and the continued evolution of our business. Then Jim will run through our financial results in more detail. Following our prepared remarks, we will open up the call to take your questions. The key takeaway from our latest results is that Medifast continues to achieve significant growth in all of our key underlying metrics driven by demand for our OPTAVIA branded products and services, as well as the strength of our business model. Our proven approach connects customers with OPTAVIA Coaches who support them in learning and maintaining healthy habits focused on eating, exercise, hydration and sleep, helping customers achieve lifelong transformation One Healthy Habit at a Time. We continue to expand our health and wellness platform to support our future growth expectations, and are leveraging proprietary tools and technologies to enhance productivity across the organization. Our first quarter results were outstanding once again, putting us in a strong position for the balance of 2022 and beyond. Revenue increased 22.6% to $417.6 million in the first quarter, a new record for us, fueled by a 21.7% year-over-year increase in the number of independent active earning OPTAVIA Coaches to 63,900, another all-time record. Importantly, the number of OPTAVIA Coaches increased sharply by 6.9% on a sequential basis compared to the previous quarter, reflecting the growing precision of the programming we have implemented and continue to refine over the last several quarters. Coach productivity was similarly strong, reaching $6,536 per active earning OPTAVIA Coach up 1.3% on a year-over-year basis and 3.4%, sequentially. Earnings per diluted share were $3.59, a 3.8% increase versus last year, as we continue to balance near-term investments and navigate the inflationary environment. With strong performance in the quarter and a clear vision to deliver on our strategy and vision throughout the rest of 2022 and beyond, we have today increased our annual revenue and EPS guidance. The continued transformation of our business over the past five years has led to tremendous growth and catapulted us to the number one revenue share position among publicly traded companies in the weight management industry in the United States. However, we believe that our full potential is much greater as we continue to build on the proven success of our differentiated model and its ability to expand into the broader health and wellness market with OPTAVIA Coach at the fulcrum of every customer’s health and wellness journey. Each year, we continue to optimize our successful customer-focused business development cadence and the results of this were evident in the first quarter. In March, we initiated an enhanced customer acquisition program building on the success of the similar program we initiated in March of 2020 at the height of the pandemic uncertainty. This approach has been at the heart of our sustained growth over the last two years and we continue to fine-tune the program based on the learnings to line up with our long-term growth strategy. Customers are the focal point of our business model, as they are guided by their own OPTAVIA Coach to learn healthy habits. This helps integrate them into the OPTAVIA community and enables them to leverage our habits of health, education system and our products to achieve transformative outcomes. We are already seeing the impact of our latest program in Q1 and Q2 as a new cohort of OPTAVIA customers have enrolled in the OPTAVIA program. However, we anticipate the biggest impact of the program will be seen in the first half of 2023, as this new cohort of customers integrates into our growing OPTAVIA community. Through the follow-up coach directed training program, a portion of these customers will become new coaches and support the growth rhythm of our business, extending our reach to more prospective customers looking for a new approach to health and wellness. In addition, we are testing a new element of the program. The focus is on managing our long-term customer relationships with the objective of driving coach productivity. By leveraging the entire OPTAVIA community, whether they are currently active or not, we have a significant opportunity to increase the lifetime value of past customers through re-engagement. This is something we have described before and believe will be a core add as an outcome of our customer acquisition and coach productivity initiatives as we move into the future. Unlike initiatives by some companies, this type of customer acquisition program is not a short-term promotion designed to prop up the volume through product discounting. In contrast, it’s designed to focus the activity of our entire OPTAVIA Coach community on executing a word of mouth advertising campaign over social media to attract new customers to OPTAVIA. Over the next several years, we plan to move aggressively to leverage our platform to capture a much larger share of the broader health and wellness market, which is estimated to be over $230 billion in the United States, significantly greater than the $7 billion weight management space we currently operate within. Our emphasis on lifelong transformation One Healthy Habit at a Time with knowledgeable coaches as guides has much broader application across the health and wellness sector due to its proven effectiveness in changing the lives for the better. This powerful network effect has been essential to our business transformation over the past five years and will remain a driving force for our expansion. With almost 64,000 active running coaches serving over 1 million customers each year. We believe we are merely at the beginning of a journey towards realizing our long-term potential. We continue to see tremendous opportunity in the United States market and believe the global potential is easily several times that large. Our core focus will continue to be on growing the number of customers seeking greater health and wellness, targeting those who have failed on diets and want a holistic approach to achieving greater health and wellness in their lives. We will also be rolling out future initiatives to deepen and widen our engagement with current and potential customers in support of our overall mission. Technology remains at the core of our strategy and we will continue to leverage proprietary tools, including digital apps, as well as data to improve the efficiency of our coach and our customer community. The OPTAVIA apps drive deeper and more consistent engagement, and are central to our long-term strategy of seamlessly connecting OPTAVIA coaches and customers within the app to the community. Let me share some additional stats that show our continued progress in this area. The OPTAVIA app, which is designed to support customers on their health transformation journey, had 140,000 downloads in the first quarter, increasing nearly 57% on a quarter-over-quarter net basis. Total users are now approximately 232,000, up nearly net of 59% quarter-over-quarter, with new user growth accounting for 54%. In the first quarter, our new weight tracker feature went live, and we continue to expand our lean and green recipe catalog, while also improving our self-service capabilities, making the app the go-to-place for customer support. The Connect app, which supports OPTAVIA Coaches as they work with their customers, had over 22,700 downloads in its first full quarter. Importantly, engagement levels are high and coaches are actively using the app, which bodes well for the future growth and productivity. We also continue to invest in technology, including our pioneering digital innovation center in Utah, where our team of product managers and engineers develop our digital apps and are rapidly expanding our data capabilities. We expect our investment in technology will continue to drive productivity in our coach community. Since we first launched after the end 2017, revenue per active earning coach is up more than 50% and we believe that we are still just getting started. We built a strong foundation to support significant future growth and we will continue to make critical investments to strengthen our operations and solidify our competitive advantage. Our new distribution center in Fort Worth, Texas, which we are developing in partnership with a third-party logistics company, is on track for completion by the second half of 2022. This facility with enhanced automation will help us achieve our supply chain capacity goal of being able to support over $2.5 billion in revenue by the end of 2022. This represents a $500 million increase in manufacturing and fulfillment capacity beyond where we finished in 2021. We continue to aim for mid-teens revenue growth and 15% operating margin. Our expanding addressable market creates substantial headroom for our core weight management business, as well as new products and solutions targeting the broader health and wellness arena. Over the long-term, we expect margins to benefit from increasing scale and operational efficiency gains and coach productivity. Near-term, like many companies, we will continue to see some margin pressure stemming from inflation and other external factors, as well as from the timing of our investments in technology and supply chain infrastructure. In addition to our commitment to lifelong transformation for our coaches and customers, Medifast is equally committed to our corporate values and positively impacting the lives of people who live and work in our communities. The unfortunate events in Ukraine have created much suffering and tragedy, and we are mindful of the tremendous impact this situation is having on millions of people globally. In an effort to help as this crisis continues, we plan to donate OPTAVIA fuelings to Ukrainian refugees in the second quarter to help with their nutritional needs. I will close my remarks with an update on our initiatives around corporate social responsibility, which is a key priority for the entire Medifast organization and closely aligned with our overall mission. Our corporate social responsibility initiative, Healthy Habits for All, advances our mission by providing children in underserved communities with the education and resources necessary to create healthy habits. Through partnerships with nonprofits, we can help break the generational chains of poor health and give children and families in at-risk communities the ability to transform their health and wellness destinies. The need for nutritious food escalated at the start of the pandemic and remains a challenge for many school-age children. With this in mind, we expanded our partnership network to include four community garden organizations around the country. Community gardens are a collective network of growers, school systems and communities and city leaders working together to build urban gardens and farms, and they educate students on how to grow their own healthy food and give them access to fresh produce through local farms and gardens. To-date, through the Healthy Habits for All initiative, we have provided up to 10 million meals to children facing hunger and we are excited to grow our mission with this new community gardens partnership and ultimately make an even bigger impact this year. So 2022 is off to a strong start and we are making steady progress against all our strategic growth initiatives. We look forward to building further on our leadership position in the weight management industry and expanding our business to new segments in the broader health and wellness market. Our powerful business model supported by a strong balance sheet and experienced leadership team, a talented employee base and nearly 64,000 OPTAVIA Coaches who are passionate about our mission. As a result, it’s no surprise that we remain highly confident about our future. Let me now turn the call over to Jim Maloney, who will walk you through the financial results. Jim?
Jim Maloney: Thank you, Dan. Good afternoon, everyone. Revenue in the first quarter of 2022 increased 22.6% to $417.6 million from $340.7 million in the first quarter of 2021. We ended the quarter with approximately 63,900 active earning OPTAVIA Coaches, an increase of 21.7% from the first quarter of 2021. Average revenue per active earning OPTAVIA Coach for the first quarter was 6,536, up 1.3% from the prior year period. We were pleased with coach growth and productivity gains in the quarter, driven by continued growth in both the number of customers supported by each coach, as well as an increase in average customer spend. Gross profit for the first quarter of 2022 increased 21.6% to $302.3 million, compared to $248.5 million in the prior year period, reflecting strong revenue growth, partially offset by increased cost of sales. Gross profit margin was 72.4% in the first quarter of 2022 versus 73% in the comparable prior year period. The 60-basis-point decline in gross margin was attributable to continued inflationary pressures in raw ingredient cost and freight and labor costs, as well as the impact of the new customer acquisition program that Dan mentioned. SG&A expenses for the first quarter of 2022 increased 26.3% to $247.2 million, compared to $195.7 million for the first quarter of 2021. SG&A as a percentage of revenue increased 170 basis points year-over-year to 59.2% versus 57.5% in the first quarter of 2021. The increase was primarily due to higher OPTAVIA revenue compensation expense, increased salaries and benefits related expenses for employees, incremental costs related to continued investment in information technology and distribution and increased credit card fees resulting from higher sales. Income from operations increased 4.3% compared to the prior year period or $2.3 million to $55.1 million as a result of higher gross profit, partially offset by increased SG&A expenses. Income from operations as a percentage of revenue was 13.2% for the first quarter of 2022, compared to 15.5% in the same period of -- in 2021. The effective tax rate was 24% for the first quarter of 2022, compared to 22.3% in the prior year’s first quarter. The increase in the effective tax rate was primarily driven by a decrease in the tax benefit of stock compensation and other items, as well as the increase in the state income tax rate. Net income in the first quarter of 2022 was $41.8 million or $3.59 per diluted share, compared to net income of $41.1 million or $3.46 per diluted share in the prior year’s first quarter. Turning to our balance sheet, we believe our financial position remains strong with no interest bearing debt and approximately $122.1 million of cash, cash equivalents and investment securities at the end of the first quarter, compared to $109.5 million at December 31, 2021. During the first quarter of 2022, the company repurchased $10 million worth of common stock. There are approximately 2 million shares remaining under the company’s stock repurchase program as of March 31, 2022. We continue to believe share repurchases enhance stockholder value driven by our long-term growth plans. Additionally, on March 17, 2022, the company’s Board of Directors declared a quarterly cash dividend of $19.1 million or a $1.64 per share, which is payable on May 9, 2022, to the stockholders of record as of March 29, 2022. This represents a 15.5% per share increase compared to the first quarter of the prior year further demonstrating our confidence in our outlook. I will now turn to our guidance for the full year 2022. The ongoing success of our model gives us a high degree of confidence in the future and we have increased our 2022 outlook accordingly. We expect revenue in the range of $1.78 billion to $1.84 billion and diluted EPS to be in the range of $14.60 to $16.05. We are raising our guidance above the previously announced 2022 revenue target range of $1.72 billion to $1.79 billion and we believe we will be able to achieve 15% operating margin in the long-term, despite the short-term margin pressures this year from continued investment in technology and supply chain infrastructure, along with inflation. Our guidance assumes a 24.25% to 25.25% effective tax rate. Our guidance excludes the one-time donation to the Ukrainian refugees that Dan discussed. In closing, we are proud of our strong start in 2022 and remain confident in our business model as we set the stage for long-term growth. We are focused on building a foundation to support significant sustainable future growth while driving value for stockholders. We believe that our business model will continue to generate results as we expand into the broader health and wellness market while helping our customers on their journeys to life-long transformation, One Healthy Habit at a Time. With that, let me turn the call over for questions. Operator?
Operator: [Operator Instructions] The first question is from Chris Neamonitis with Jefferies. Please go ahead.
Chris Neamonitis: Hey, Jim and Daniel. Firstly, congrats on another impressive quarter and all the color on ongoing initiatives. Could you maybe just walk us through the trends you saw in the business, maybe between February and today through April? Obviously, momentum accelerated nicely. So could you maybe help us think about what’s been driving that since you provided the initial outlook and on that customer acquisition program, is that something new for 2022? So just maybe any more color on that program and how it trended versus your expectation?
Dan Chard: Sure. Chris, good to hear from you. And the trends we have been seeing a reflective of what we what we discuss, and yes, it’s driven by this customer acquisition program, which started on March 21st and will run through May 9th. And this is essentially with a few modifications, this program is very similar to what we ran in March of 2020, just after the pandemic hit. It’s designed specifically to focus all of our coaches on new client acquisition. The modification this year versus what we did in 2020 was essentially providing a package -- a product package that did not -- that does not include some of the materials. So it made it a little bit less expensive, specifically $288, but still roughly a $90 savings. And that was done specifically to continue our testing and understanding of how we might attract more lapsed users. So those who have been OPTAVIA customers previously, but may not have been with our coach for some time and we have seen that that’s been a very successful initiative. So we are feeling very positive about that. So the -- like I said, the -- when we did this in 2020, we saw both significant improvement in the year that we executed it. But because of the dynamic of our business, we saw the biggest benefit taking place in Q1 and Q2 of the following year. So we believe that that will be the case with this initiative too. So we run it for the first time in March. We did a version of it in the fourth quarter of this just this past year in 2021 and this program most closely resembles the program that we ran in March of 2020.
Chris Neamonitis: That’s very helpful. And then, Jim, maybe for you on the guidance, at the midpoint, you took up the topline higher than earnings. So anything to think about there from a cost perspective that maybe changed since the prior update?
Jim Maloney: Yeah. I mean there’s a few things. We took the guidance on the topline from $1.75 billion to the midpoint of $1.81 billion. EPS we took up slightly to some degree. So, as Dan just mentioned, the customer acquisition program, even though it was considered in the previous guidance, the program is running better than we thought and that investment in that program is going to have some pressure in our Q2 margins. So, if you look back in 2020, you will see that margins in that year and we are expecting something similar this year in Q2 of 2020, the gross margin decreased about 300 basis points to 350 basis points and we are expecting that same thing to happen this year. So it’s an investment that’s occurring in. 2022 for mainly, as Dan mentioned, for 2023. We are also seeing, like other companies, the inflation hitting. We are seeing that now we have more visibility to the latter part of the year and we are seeing that fuel charges is one of the elements that is increasing due to energy prices just to give you an example. So hopefully that helps you.
Chris Neamonitis: No. That’s very helpful. So maybe -- so all of that goes into the gross margin line, right? So is there any way to think about the split or maybe the drag, the split between inflation and the sales program? Thank you.
Jim Maloney: Yeah. I mean, so, when you look at Q1, the customer acquisition program was about a 90-basis-point charge to the P&L. Our pricing did offset some of that, I will call it, about 30 basis points and then the rest of it in Q1 basically took care of the inflation that we were seeing. We are expecting that the customer acquisition program in Q2 will be, I will call it, 300 basis points to 350 basis points. And we do believe that inflation -- the pricing will offset inflation like we talked about on our last call. But when you get later on in the year, now that we have more visibility, we are seeing some inflation, I will call it, about 50 basis points in the out year, out quarters. So that’s the way I would look at those few items and to help you with your modeling.
Chris Neamonitis: That’s very helpful. I will pass it on. Thanks.
Operator: The next question is from Linda Bolton Weiser with D.A. Davidson. Please go ahead.
Linda Bolton Weiser: Yeah. Thank you. Can you sort of explain what with this customer acquisition program, it seems that and what I have heard is that coaches start talking to clients fairly soon in their journey about potentially becoming a coach if they think that’s appropriate. So if that occurs maybe within just a few months of maybe when the person becomes a client, why would you say the benefit to this type of program wouldn’t occur for a year in the future? Why wouldn’t the benefits be seen sooner? Thanks.
Dan Chard: Thanks, Linda. Yeah. They are benefits both in the immediate term, so reflective of our strong coach growth in the quarter, also a strong new client growth. The point was that the bigger part of the return takes place as that large new client cohort moves through the year and develops further. So it’s essentially to the point that you are making, a portion of those clients will become coaches who will go on and get clients, so that effect that becomes more pronounced in the first part of next year as that cohort is fully developed. So there is a short-term benefit and impact, but the larger benefit, both financially and both from a profitability standpoint because we have already made the investment, as well as from a revenue standpoint because it’s fully mature. It takes place in the following year.
Linda Bolton Weiser: Okay. And then can you kind of remind us, are you planning on an in-person convention this summer in July?
Dan Chard: Yes. We are. And the tickets have already gone. So I believe at this point the event is sold out. We anticipate roughly 15,000 coaches to be in Atlanta with us in July.
Linda Bolton Weiser: Okay. And I was just curious you had -- what was the operating cash flow in the quarter?
Jim Maloney: Yeah. The operating cash flow was, let me get it exactly, for the quarter was $44 million for Q1.
Linda Bolton Weiser: Okay. And then when you -- Dan, when you talk about this larger addressable market of, let’s see, I think you said $230 billion, the health and wellness market in the U.S. How specifically are you going to be changing your offering such that you address this bigger market versus the smaller $7 billion weight management? What assumptions do we need to have happen in order to be able to address that bigger market?
Dan Chard: Sure. Part of it is coming out as a result of providing greater support, which will continue to roll out in the form of our digital apps, which will help the more, let’s say, experiential or kind of on demand for the habits of health transformation system. Part of it will come about as we develop and launch products that are specifically tied to helping customers go through and develop other healthy habits. So those want -- similar to those wants that I described that are already being taught but now would be monetized. So think of that as exercise, sleep, hydration in addition to continue to develop the habit of healthy eating.
Linda Bolton Weiser: Okay. Thank you very much.
Operator: [Operator Instructions] The next question is from Doug Lane with Lane Research. Please go ahead.
Doug Lane: Yeah. Hi. Good afternoon, everybody. Jim, with the inflation being as persistent as it is, is there any discussion of taking additional pricing initiatives in the latter half of the year?
Jim Maloney: Yeah. I mean, we look at pricing routinely. We have a rhythm that we look at that throughout the year and it’s something that we try to keep close guarded. So I can’t really tell you exactly what we are thinking. But all I can say is, we have been thinking about it and we would want to announce that all at one time to our investors and to our customers all at the same time.
Doug Lane: Okay. That makes sense. And in conjunction with the July convention, should we expect some new product announcements activity, anything significant there just directionally?
Jim Maloney: Yeah. We don’t typically announce or pre-announce new products prior to the convention. So we are going to stick with that tradition, I guess.
Doug Lane: Okay. Can we at least expect some new product activity in the broader health and wellness since you have been talking about that so much in the last two or three or four quarterly conference calls. It sounds like something is percolating there?
Jim Maloney: I will say in the -- so we have continued to launch new fuelings, so you are probably aware of that. The biggest focus in terms of, I mean, we look at the business in two ways. One is those products that support the healthy habits. So think of those as meal replacements and fuelings. We also look at the products and services that support coaches and clients as they develop those healthy habits. The biggest area of focus for this upcoming convention is what you heard us talk about in the form of the OPTAVIA app, which is the app that helps…
Doug Lane: Right. Right.
Jim Maloney: … clients and the OPTAVIA Connect app. So those are the biggest, I will say, both investments and changes to the program for this upcoming convention.
Doug Lane: Okay. I got it. And just help us out here, I know that you have got a good, healthy new cohort of customers. And obviously the big win is to move them into being earning coaches and then building a team of earning coaches. But really how many of OPTAVIA customers typically move into being coaches? Is it 10%, 50%, 80%? I mean, just how big a percentage currently do your customers move into being coaches?
Dan Chard: Yeah. I think it’s a great question. It’s relatively a small percentage. Without giving you the exact number, it’s lower than the numbers that you were stating and that’s really to be expected, it takes a lot, I mean, the majority of our revenue over 95% comes from those who are just clients. And to your point, a portion of those become coaches, but it’s a small percentage, Doug, and that’s what our model is kind of tied to. We don’t need a large percentage of those clients becoming coaches. But we have seen that number be very constant and steady over the years.
Doug Lane: Okay. That’s helpful. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Dan Chard for any closing remarks.
Dan Chard: I will close by thanking all of you for your interest in Medifast and also recognize the efforts of our OPTAVIA Coaches, as well as the meaningful journey that our OPTAVIA clients are on. We appreciate your participation in today’s call and look forward to speaking with you again next quarter.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.